Operator: Hello everyone. Thank you for attending today's Planet Labs PBC Third Quarter of Fiscal 2025 Earnings Call. My name is Sierra, and I'll be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Chris Genualdi, Vice President of Investor Relations. Please proceed.
Chris Genualdi: Thanks, operator, and hello everyone. This is Chris Genualdi, Vice President of Investor Relations at Planet Labs PBC. Welcome to Planet's third quarter of fiscal 2025 earnings call. I'm joined today by Will Marshall and Ashley Johnson, who'll provide a recap of our results and discuss our current outlook. We encourage everyone to please reference the earnings press release and earnings update presentation for today's call, which are available on our Investor Relations website. Before we begin, we would like to remind everyone that we may make forward-looking statements related to future events or our financial outlook. We also may reference qualified pipeline, which represents potential sales leads that have not yet executed contracts. Any forward-looking statements are based on management's current outlook, plans, estimates, expectations and projections. The inclusion of such forward-looking information should not be regarded as a representation by Planet that future plans, estimates or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions as detailed in our SEC filings which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made or to reflect the occurrence of unanticipated events. During the call, we will also discuss historic and forward-looking non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operational decision making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this afternoon, which is available on our website at investors.planet.com. Further, throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release and our earnings update presentation, which are intended to accompany our prepared remarks. At this point, I'd now like to turn the call over to Will Marshall, Planet's CEO, Chairperson, and Co-Founder. Over to you, Will.
Will Marshall: Thanks, Chris, and hello everyone. Thanks for joining us today. During the third quarter, we made significant progress across our go-to-market, technology, and financial objectives. We secured multiple large contracts with government customers globally, advanced our next-generation datasets towards commercialization, and enhanced the Planet Insights Platform with new capabilities. We also meaningfully improved the fundamentals of the business. To quickly summarize our financial achievements. For the third quarter of fiscal 2025, we generated a record $61.3 in revenue, representing 11% year-on-year growth. Non-GAAP gross margin for the quarter increased to a record 64%, up from 52% a year ago and 58% last quarter. Adjusted EBITDA loss for Q3 narrowed to approximately $242,000 marking our sixth sequential quarter of improvement in adjusted EBITDA as we substantively narrow in on our target to achieving adjusted EBITDA profitability next quarter. Ashley will provide more detail on the financials shortly. Turning to sales highlights. Let's start with the Defense & Intelligence sector. During Q3, we saw a substantial increase in new and expansion bookings with D&I customers, primarily driven by wins in the international market, which have contributed to the increase in our backlog and strengthened our foundation for growth going forward. Revenue from the D&I sector grew approximately 25% on a year-on-over year basis, and we continue to see the emerging trend of defense customers adopting partner and AI enabled solutions powered by our data to enhance their ability to identify known and unknown threats over broad areas. For example, during the quarter, Planet won an eight-figure expansion with an international defense customer to provide a full range of Planet products, including PlanetScope, SkySat, Maritime Domain Awareness, and other analytics. We expect this contract to ramp into the next year. Planet also was selected for another seven-figure pilot with the U.S. Department of Defense. This is our third such pilot program with the U.S. DoD this year. Under this three-month project, Planet will provide satellite imagery in key areas of interest with analytics-powered insights developed with a Planet partner. We continue to work towards converting these pilots into operational contracts. The opportunity to sell global and regional monitoring services to existing and new government customers is significant in our view. Additionally, we have the opportunity to sell upcoming new datasets like Tanager Hyperspectral or Pelican high resolution to government customers as those come available. We'll share more on Tanager and Pelican in a moment. Turning to the Civil Government sector where revenue grew approximately 10% year-over-year in Q3. We're pleased to announce that we've received our first order under the new NASA Commercial SmallSat Data Acquisition contract vehicle, CSDA, for approximately $20 million covering one year of performance. As a reminder, NASA announced in early September that Planet was selected for the CSDA, the framework under which NASA can place orders through November 2028. While the first order came in later than we anticipated, landing on November 25th with a renewal delay impacting revenue in Q3 by approximately $2.3, we were pleased to see that it came in as a seven-figure ACV expansion on our prior contract. Planet is very proud of the work our data have enabled through the CSDA program, which serves thousands of researchers at NASA and labs across the U.S., working on a wide range of Earth systems sciences and applications. In a similar program across the Atlantic, we also recently signed a multi-year contract with the German Space Agency, DLR, to provide data access and development support for the agency's Earth observation data platform, integrating Planet data into the system and offering advanced services. These are two examples of government-wide agreements which provide broad access to our vast Earth observation archive to empower education research users in furthering science research and identifying and validating new use cases. These broad agreements enable substantial user bases at research institutions and government agencies to access large data sets, often covering entire countries or regions. They are often seven or eight figure deals and we believe there are over 100 countries that could benefit from such offerings. Shifting to the commercial sector, we're cautiously optimistic that the improving business environment combined with the changes we've made in our go-to-market, will position this sector to return to growth. We were pleased to observe in the quarter the average deal sizes for new and expansion contracts continue to trend upwards indicative of our sales team's focus on higher value accounts with strong ROI use cases. Here, we are also seeing a growing trend for customers adopting AI-enabled solutions, powered by Planet's differentiated data sets. We see these solutions as facilitating analysis across significantly broader areas and speeding up time to value for our customers. To share some examples, we recently signed an expansion with Abellio, a French technology company offering smart farming solutions. They're leveraging Planet Insights Platform and our PlanetScope data to enhance their digital agriculture solutions. Their solutions apply algorithms and AI models on top of Planet data to generate insights for precision farming and help save farmers between 5% and 10% in nitrogen application on average. They will have access to our agriculture data across France nearly 3x the amount of data that they have previously integrated into their solutions last year. We also recently won an expansion with Global Fishing Watch, an international nonprofit dedicated to advancing ocean governance. This six-figure deal represents a 650% expansion and enables a 20x the ocean coverage, allowing Global Fishing Watch to fully leverage PlanetScope data and machine learning to map vessel activity across millions of square kilometers of the ocean to better detect small vessels engaged in illegal fishing activities. Finally, we recently announced a partnership with Laconic to deliver AI-powered Forest Carbon insights aims as enabling informed carbon credit trading. Under the seven-figure deal, Laconic will gain access to Planet's new Forest Carbon Monitoring products we released last quarter, leveraging these data feeds Laconic plans to offer their customers accurate trends and verifications to instill trusted trading confidence and empower informed carbon credit decision making. Overall, we're proud to share that Q3 represented our largest ever quarter of ACV bookings. We remain focused on driving growth acceleration, while also building greater predictability into our book of business. This quarter's bookings expansion gives us confidence in our team's ability to do this and Ashley will speak more to this shortly. Now to some recent product updates. During Q3, we released our Analytics-Ready PlanetScope ARPS product for for time series analysis and machine learning models on our core daily scan. This product harnesses our proprietary algorithm to create harmonized and spatially consistent stacks of images of the same location over time. The result is a more precise dataset that's readily available for manipulation analysis, and visualization, all delivered in the Planet Insights Platform. It's available today to our customers. In Q3, we also released our AI-powered Forest Carbon Monitoring product at the UN Climate Week in New York. It's the world's first global scale forest structure monitoring system at a 3-meter resolution, an unprecedented dataset that can be used to underpin voluntary carbon markets, regulatory compliance, and deforestation mitigation. Turning to updates on our next-generation satellite fleets. As many of you saw in September, we shared the first light images from Tanager-1 Hyperspectral Satellite. Tanager-1 has since begun helping Carbon Mapper monitor hundreds of emissions sites globally under our commercial partnership. Just last month, Carbon Mapper published over 300 methane and CO2 plume detections at COP29 in Azerbaijan. In an incredible early win for the program, one emissions leak in Texas was voluntarily fixed by the commercial operator. This provides a small sense of the power of this data. It can lead to accountability and benefits for companies enhancing their efficiency while also providing significant benefits for the environment. Tanager-1 continues to go through its final commissioning and calibration, after which we plan to make the data commercially available to other customers across government and commercial markets. We're pleased with the near-term traction we're seeing in our pipeline for hyperspectral data, particularly in the energy and government sectors. I'd also like to highlight how the Tanager program represents a powerful blueprint for accelerating our technology roadmap by leveraging our space systems capabilities and IP with a partner. Now that first satellite is in orbit and delivering data, we can begin to unlock the growth potential of the Tanager program while also accelerating our partner Carbon Mapper's mission. Overall, we see such opportunities as highly strategic, enabling us to scale our business more rapidly and strengthen our financial position. We expect to pursue similar opportunities going forward. Moving to our Pelican fleet. We're pleased to share today we shipped the Pelican-2 satellite to Vandenberg Space Force Base in preparation for launch, which is currently scheduled for January. As a reminder, the Pelican program is our next-generation high resolution satellite, which enables continuity and enhancements over our current SkySat fleet, including an image quality, spectral bands, imaging capacity, and latency. The Pelican-2 design incorporates NVIDIA's latest Jetson GPU module, enabling edge compute, the power to run powerful AI on the satellite, and speed time to insight. It also incorporates satellite to satellite links previously discussed, beating time to value. In summary, we won multiple large contracts with government customers that we believe positions us to reaccelerate growth as those contracts ramp and expand. On the product front, we've made improvements to our core daily scan data. We're capturing a powerful new dataset with our first Tanager Satellite, which we expect to commercialize in the months ahead, and we plan to launch our next Pelican satellite shortly. Finally, the adoption of AI-enabled solutions amongst both government and commercial customers is growing. We're focused on leveraging our platform and partners to nurture this adoption, increase customer value, expand the addressable market, and ultimately build greater predictability and growth into the business. With that, I'll turn over to Ashley to talk through more details around our financials. Over to you, Ashley.
Ashley Johnson: Thanks, Will. As a quick reminder, it was less than six months ago that we completed a restructuring and introduced a new industry-aligned operating model to the business. In spite of the significant amount of change that this introduced to our teams. During this last quarter, our go-to-market teams delivered our best quarter of ACV bookings, including renewals, expansions, and new business, and I'm impressed with the team's performance. We also saw a meaningful step up in average deal sizes across all three sectors. These early proof points give us confidence that the new operating model is facilitating the foundational changes needed to reaccelerate our growth, while deal timing continues to be hard to predict, particularly given the large deal nature of our business, the underlying fundamentals of the business continue to improve and our competitive position is strengthening. We've made significant strides towards profitability this quarter, showing substantial margin expansion and reducing our cash burn. So, let's turn to the results. Revenue for the third quarter came in at a record $61.3 million, representing approximately 11% year-over-year growth. From a geographic perspective, during the third quarter, EMEA revenue grew approximately 15% year-over-year, Asia-Pacific grew over 25% year-over-year, Latin America grew over 30% year-over-year, and revenue in North America was flat on a year-over-year basis, impacted primarily by the delay in renewing and expanding our contract with Nasa. As of the end of Q3, our end of period customer count was 1,015 customers, as we've shared before, this metric reflects our direct sales team's focus on large customers and our core verticals and our initiative to enable smaller, more transactional customers to purchase through our platform or our marketplace partners. Customers who transact solely through our platform are not reflected in this number. Recurring ACV or annual contract value was 97% of our end of period ACV book of business, and over 90% of our end of period ACV book of business consists of annual or multi-year contracts. Our average contract length continues to be approximately two years weighted on an ACV basis. Net dollar retention rate at the end of Q3 was 104%, and net dollar retention rate with winbacks was 105%. The delayed NASA task order impacted our net dollar retention rate by approximately 8.5 percentage points. As a reminder, at this point in the year, our net dollar retention rate reflects nine month of contract renewals. Our net dollar retention rate starts each fiscal year at a 100% and then builds through the course of the year toward our final full year result. Turning to gross margin, non-GAAP gross margin for the third quarter was a record 64% up over 1,200 basis points a year-over-year, and over 600 basis points sequentially. This was better than we had expected coming into the quarter, largely driven by optimizations in our cloud infrastructure. We expect to continue to benefit from these optimizations going forward, although at a more moderate pace of improvement. Adjusted EBITDA loss was approximately $242,000 for Q3. Marking another quarter of sequential improvement in adjusted EBITDA and putting us in a strong position to end the year with achieving EBITDA profitability in Q4. Capital expenditures including capitalized software development were $8.9 million for the quarter, lower than we anticipated due to the timing of certain procurements. Turning to the balance sheet, we ended the quarter with approximately $242 million of cash, cash equivalence and short-term investments. We continue to believe that our balance sheet provides us with sufficient capital to invest behind our core growth accelerating initiatives and achieve cashflow breakeven without needing to raise additional capital, and we still have no debt outstanding. At the end of Q3, our remaining performance obligations or RPOs were approximately $146 million, up 30% quarter-over-quarter, of which approximately 82% apply to the next 12 months and 98% to the next two years. Our backlog, which includes contracts with the termination for convenience clause, which is common in our U.S. Federal contracts and occasionally found in other customer contracts, was approximately $232 million of which approximately 70% applied to the next 12 months and 91% to the next two years. To be clear, RPOs and backlog at the quarter end do not include the $20 million NASA order received on November 25th. As a reminder, RPOs and backlog can fluctuate quarter-to-quarter as revenue is recognized against customer contracts and multiyear contracts come up for renewal. Let me turn now to our guidance for the fourth quarter of fiscal 2025. We are expecting revenue to be between $61 million and $63 million, comparable to Q3 levels as we work to ramp large customers and our new operating model begins to take effect. In the commercial sector specifically, we expect the tail of the digital agriculture application headwinds that we've discussed on prior calls to roll off in Q4 as we transition many of these accounts to more internal use operational contracts. We have seen this focus on higher value use cases such as precision agriculture and informed scouting enable us to establish stickier and larger contracts with agriculture customers over time. Similar to Q3, we expect non-GAAP gross margin for Q4 to be between 63% and 65%. We expect our adjusted EBITDA profit for the fourth quarter to be between zero and $2 million consistent with the profitability target we set nearly two years ago. We're planning for capital expenditures of approximately $8 million to $11 million in Q4, reflecting our continued investments in our next generation fleets and the ongoing maintenance CapEx for our PlanetScope constellation. To close, I'd like to underscore the objectives of the changes we made earlier this year, centering our business around our customers with an industry-aligned operating model. By making our customers the core of everything we do, we ensure that we deliver the right solutions to unlock the economic value of our powerful datasets. We furthermore ensure that we're developing the right next generation of datasets that can increase that value for our customers. The opportunity for the Earth observation industry over the next decade is significant. A report published earlier this year by the World Economic Forum in collaboration with Deloitte estimated that by 2030 Earth observation data and insights could provide over $700 billion of economic value to global gross domestic product annually, made possible by rapid advancements in satellites and sensors, computing power and greater accessibility to insights driven by analytics and AI. We see Planet as being an important driver for this global economic opportunity. With relentless focus on delivering customer value across all of our teams, we not only increase our own share of the Earth observation value chain, but we also increase the positive economic impact that we make through our customers, while improving the growth and predictability of our business. This is our core focus as we move through the final quarter of fiscal 2025, and look forward to fiscal 2026. Operator, that concludes our comments. We can now take questions.
Operator: Thank you. We will now begin the Q&A session. [Operator Instructions] To begin, we have an online question from an analyst. The question is, can you please discuss how AI spend is flowing through the Planet pipeline? Which sectors are you seeing the most traction in?
Will Marshall: Yes, thank you. So clearly, AI is helping to drive our pipeline and you saw in the big deals that we discussed in our prepared remarks. Just to pick on the first two as an example, the expansion of the large D&I customer, that uses MDA, Maritime Domain Awareness, tools that uses AI and that is driving use of our PlanetScope imagery across those ocean territories. And the second deal, of course, is our third pilot with the DoD and that is also central to that is AI driving again, PlanetScope in this case over land territory. So, we see that, I mean, so to the sectors, it's definitely more focused on the government, but we're seeing it across the board. I mean, the Laconic example, I also mentioned a commercial deal, leverages our forestry carbon [Indiscernible] which also leverages AI. So, I think it's all over the board. It's definitely driving our pipeline and it's an accelerant to our business because it speeds up time to value and it opens up new markets. Next question.
Operator: Our next question comes from Michael Latimore with Northland. Your line is now open.
Michael Latimore: Congrats on the strong bookings quarter here. I guess in terms of the of the pilot you just highlighted there, third pilot, great to see, what are the kind of key catalysts or events that need to occur here to kind of get that to commercialization? And is that something that is a couple quarters, a couple years away?
Will Marshall: Yes, great question. I mean, look, I mean, we're really excited that the DoD is leaning in with this third pilot this year. I mean, it's quite a new capability coming here, because what it's enabling is the government to look at large areas to find new threats. That new system based on the fact that we have this daily scan with AI finding tools is a very new capability. So, what we're doing with these pilots is, the government is iterating what they need and we're reacting to that and changing it. There's opportunities for more pilots extensions to these current ones and we do believe we can grow into operational contracts over time.
Michael Latimore: And one basic kind of financial question. It looks like sales and marketing took a step down sequentially, quite a fair amount. Is that kind of a good new run rate or was there a one-time item in there?
Ashley Johnson: To my knowledge, I don't think there's any one-time item driving that's really about the restructuring that we did in the middle of the year. And as I mentioned before, a lot of that was really looking at our cost of acquisition and making acquiring customers more efficient.
Operator: Our next question comes from Trevor Walsh with JMP. Your line is now open.
Trevor Walsh: Will, maybe just start with you, just at a high level, lots of kind of interest and buzz just broadly around the space domain kind of from early November to now, just given the incoming administration. Just would be curious to hear your thoughts just broadly on that and also just what you're hearing from customers in terms of how they think things might either change positively, negatively, neutral for coming, kind of heading into next year?
Will Marshall: Yes, certainly. It's something we've been thinking of a fair bit about obviously. Overall, let's just step back and say that the priorities that we serve for the government, which tends to be national security, disaster response these sort of things are pretty nonpartisan as they go. And but we -- as regard to this incoming administration, we do see them pretty focused on efficiency generally and commercial capabilities in particular. And we think that applies very well to space and that Planet is very well positioned to support that. In fact, I was just in DC last week and conversations with multiple agencies there reflect who are already reflecting on these incoming administration's priorities are focused on exactly that. How can they do things more efficiently, especially with the commercial sector. So, I think Planet is very well positioned for that.
Trevor Walsh: Great. Terrific. Thanks. And maybe just one quick follow-up. Ashley, around the new customer numbers, understand that, you're not adding as much just based on that commercial kind of shift in the go-to-market and whatnot. How - should we even really be concentrating on that metric? Just generally, I mean, I know you're going to report on it, but it just seems like, it's maybe not the best way to kind of be looking at the business in terms of the net new or maybe that is still kind of relevant. I'm just trying to kind of get an understanding of as you bring a large company like company like Laconic, for example, just how that kind of get - how that - what the onboarding is for that customer in terms of from a rev rec perspective, and just, again, just kind of wrapping all those things kind of in my head around that just from that perspective?
Ashley Johnson: Yes. It's a good quest question. I do think that it's a useful metric just because it really spotlights how differentiated Planet is from kind of the traditional Earth observation industry. We have such a broad and diversified customer base. The focus of the sales team really is around those opportunities where we can land and expand the customer. And so, to ensure that we are operating efficiently, that's really where we're focused our direct sales. But as you recall, we have also been making investments in the platform, including an acquisition of a really strong platform in Sentinel Hub, which enables us to continue to work with a broader community that might be more transactional in nature, just much more efficiently. And as I said, some of these customers are unlikely to be counted in the overall customer count because they just transact directly and not through, our sales team. But -- so that's where that change in focus is impacting the pace of growth of that number, but I still think it's an important metric and, one that we'll continue to track over time. In terms of onboarding new customers, it really depends on the complexity of the of the business. So, some of our more complex government sales can take longer to onboard. There's going to be multiple parties that are involved in getting that account up and running. I don't know specifically, as it relates to Laconic, whether that's more straightforward of turning the customer on, and getting them working with the data or there's, you know, a ramp time associated with that. And the ramping of revenue typically relates to, which product specifically was sold. So, if it's a pure data subscription, that's going to be more ratable. If it's one of our, usage contracts related to tasking, that can see some variability based on his onboarding characteristics. So, it's a little bit of some and some if that helps.
Operator: Our next question comes from Ryan Koontz with Needham & Company. Your line is now open.
Ryan Koontz: Ashley, on the guide, it sounds like the NASA renewal came in a little late and there might have been a couple other deal slips, but relative to your expectations, say 90 days ago, was there a sizable impact from a couple of deal slips that impacted the fourth quarter guide? Or can you walk us through that a little bit, numbers?
Ashley Johnson: Yes. Obviously, you hit on one, which was simply the timing of that NASA renewal, definitely coming in later due to the procurement process. Obviously, very glad to have that in and to see an expansion with that customer. So, I'd say in terms of the guide, it's timing. As I mentioned, NASA, it's timing as it relates to some of these large bookings that we got in Q3 and the time it will take to onboard either that expansion or new customer. And so, expectations about the ramp time for that revenue. And some of it is really usage variability quarter-to-quarter. So that's the primary impact on the revenue guide for the year or for the back half of the year.
Ryan Koontz: And what's the typical time to onboard some larger customers? Is it two, three quarters type of thing, or what faster should we think about that?
Ashley Johnson: No, I think it should be faster than that. As I mentioned in the last question, it really does depend on the complexity of the customer and the specific product that's purchased. So, if they've purchased a data subscription, once we've provisioned them, we can start recognizing that more rapidly. But if it's a usage-based contract related to downloads or tasking, then it really is about getting the users up and running and sometimes that's globally, and getting them to start using the task orders more regularly. So that is, it really depends on the contract.
Ryan Koontz: And if I could squeeze one more in for Will. Around the competitive landscape for tasking and your data analytics. Obviously, with PlanetScope, it's a kind of a, one of a kind there, but your follow through ability to upsell analytics and upsell tasking. What's that competitive environment like these days relative to some of your peers bigger and smaller?
Will Marshall: Great question. Yes, I mean, obviously the daily scan is pretty much unique and that's what's driving, I mean, it's the most applicable data set for AI, because it is a continuous data set, the same sun angles every day. You always know that it's on everywhere. And so, actually this having this data steep stack of over 2,500 images for every point in the land of the earth is the sort of data set that everyone's training on, less the tasking system. The tasking system is where there's other players of course that have tasking systems, but we are competitive for multiple reasons. We've got a lot of capacity, the fastest revisit rates on our SkySat system, and there's the complementarity between the two where you find changes in the PlanetScope data that and everyone want to take a look at, which is a sort of system, we call it Tip & Cue that no one else can do because no one else does the scan. Now, just talking as we go forward, obviously one of the exciting things with Pelican is that not only are we improving the resolution on that, we're improving the capacity for satellite on that, but with the twin new capabilities that we put on this next Pelican that literally just got to the launch site today, it has satellite to satellite communications to get tasks up and images taken faster. And it also has this latest NVIDIA chip that enables us, I think it's the fastest processor in space, and it basically enables us to do AI on the edge. That means you can do things like, say, look over take picture of a pic area of water, detect ships automatically, and just send down the pixels around that ship. All to say that that speeds up time from hours to minutes, and that's critical to a number of important applications. So, look, we're differentiated today. We continue to invest to make it better and better and the complementary nature between our data sets is always a boon.
Operator: Thank you all for your questions. [Operator Instructions] Our next question today comes from Jeff Van Rhee with Craig-Hallum. Your line is now open.
Jeff Van Rhee: Great, thanks. Hey, Ashley, Will, congrats. Got a lot to smile about here. A couple of questions for me. On the top line outlooks for ‘26, I know you're not giving a guide, but you've got obviously quite a bit better visibility. You've got a bunch of signings. I get that the timing of go lives is going to be unpredictable. But if you look out to Q4, so a year from now, next year, is there a floor growth rate at which you'd be comfortable saying, hey, based on the visibility we have, we certainly should be able to grow at least x at this point?
Ashley Johnson: Yes, it's a good question. Obviously, we're not giving guidance right at FY’26 at this time. But as Will mentioned, really pleased with the way the teams are executing and seeing such a strong bookings quarter that does start to give us visibility into next year of that committed revenue base. And as we continue to invest in some of these core growth initiatives, specifically leveraging AI as a strategic vector for both expanding with existing customers and opening new markets. That gives us a lot of confidence in our business. Our ability to reaccelerate the business knowing that these things take time to really drive these go to market transitions and operating models and everything else. So, I feel really good about the outlook. I think we can start to see revenue accelerate. I'd be just cautious about how quickly we start to see that acceleration, cautiously optimistic that it can be the early part of next year and feeling particularly optimistic that the back half of next year should really see strong acceleration. Hope that helps.
Jeff Van Rhee: Yes. I appreciate the effort. And then on CapEx, I know in September, I think you had commented you expected a $13 million to $16 million run rate for foreseeable future, if I have it right. You did $8.9 million this quarter. You're guiding to $8 million to $11 million. I think you commented the timing this quarter. Is that the same next quarter? Is there a new thought process in terms of expected CapEx?
Ashley Johnson: Yes, it is timing. As I said, we're always balancing the desire to get the fleet of Pelicans and Tanagers up and running faster and just balancing that with cash burn and maintaining a strong balance sheet. So just looking at the timing of upcoming launches, we feel like that the lower guide for the back half of the year around CapEx is more in line with what we're likely to see. But definitely don't have any specific concerns around the supply chain and a lot of this is just coming down to the ability of our teams to be very agile in how they operate and scale up as we see opportunity to grow the fleet.
Jeff Van Rhee: Great. Last one then maybe for me on Pelican. Obviously, congrats. It looks like that's going to be up soon. Hopefully, January, I think you commented. How should we think about time to revenue there? Just any sense of how booked up, so to speak, that unit is how quickly you can reach high utilization, just path to revenue for the for that capability?
Will Marshall: Let me just comment on the top level. Of course, we already have an existing book of business in that line, the SkySat Book of Business, that those Pelicans will be taking on. And then with their new capabilities that I just mentioned in my previous answer of better resolution, more capacity for satellite and faster delivery. Just overall, we believe there's greater customer value, so we'll drive those that value up. And so, yes, that's where we see it going and we'll be ramping that this next year.
Operator: Our next question comes from Caleb Henry with Quilty Space. Your line is now open.
Caleb Henry: Just one question for me. It's on the SkySat and the Pelicans. It looks like the, all of the Pelican -- or excuse me, all of the SkySats satellites that were in the inclined orbit has since been deorbited. I was curious if you had any kind of lessons learned from those, I think it was six or seven satellites, and then how that influences the Pelican fleet? Will those all be in SSO orbits or will you kind of mix them up with inclined?
Will Marshall: Yes, good question. That's right. I mean, firstly, what we learned was that having inclined planes was really helpful for our cadence, and we will be doing that same sort of architecture with a Pelican system that is a combination of Sun-sync satellites and inclined-plane satellites. Yes, I mean the rapid revisit, I mean, the good thing is that what we've seen is, as those dropped off, we have been able to constantly increase the capacity per satellite on our SkySat, such that we more than kept up with the total capacity. But what the incline plane does is give us more revisit rates. So, as we rebuild into the inclined plane stated with the Pelican, we'll pick that back up again as well. Does that make sense?
Caleb Henry: Can you kind of clarify? Yes, I think I got most of it. When you mentioned having kind of kept up pace, can you clarify what exactly that means?
Will Marshall: Just in terms of total capacity, so number of collects and we can collect overall in the system. So, I mean, I think last year we mentioned that that year alone, we more than doubled the capacity of our SkySat’s per satellite. Yes, there've been a few SkySat’s that we'd lost because of atmospheric drag and the solar radiation that we've been talking about solar maximum, but overall capacity of the entire fleet has actually gone up.
Caleb Henry: In that case, the satellites that are gone, that doesn't put any pressure or accelerated pressure on kind of refreshing the fleet with Pelican?
Will Marshall: Well, I mean, we want to do that and so, we've got our own motivation to do that, because we want to improve the system anyway. But yes, of course, continuing the SkySat is part of that mission, but what's more important is the upgrades that I was talking about earlier that give us even more capability for satellite and more market value and demand.
Operator: Thank you all for your questions. No longer questions in queue. So, I'll pass the conference back to Will Marshall for any closing remarks.
Will Marshall: Well, thanks everyone for joining. I think in summary, firstly, we really pleased with our significant improvements in the fundamentals of business, especially as we fast approach our adjusted EBITDA profitability in this quarter now. Secondly, we secured multiple large government contracts in Q3, which we expect to ramp into the year. It was the strongest-ever ACV bookings quarter. So that lays the groundwork for our growth ahead. Thirdly, we're seeing further accelerants because of AI that's driving new adoption of our data sets as well as exciting new data sets coming online with Pelican and Tanager. So overall, we feel good about our ability to accelerate growth coming into next year. And I'd just like to end by thanking our teams across the world for their huge dedication to getting us to where we are today. Thanks a lot.
Operator: That will conclude today's conference call. Thank you all for your participation. You may now disconnect your line.